Matthijs Storm: Good morning, ladies and gentlemen. Welcome to the Wereldhave Full Year 2022 Earnings Webcast. I'm here today with our CFO, Dennis de Vreede. I'm Matthijs Storm, the CEO of Wereldhave. We will take you through a couple of slides. You can find the presentation material also on our website. There is an opportunity to ask questions. In the bottom of your screen, you see a text box. Already during the call, you can post your questions during the end of the call, towards the end of the call, we will answer those questions. Let's start with the key messages for 2022. I think very important, the first one, we made a significant profit again of â¬76 million in 2022. Last year, there was a â¬213 million loss. This was primarily driven by the revaluations and also by the book loss on the sale of the French portfolio last year, but I'm happy to see that this year we can post a profit of â¬76 million. A little bit further down, tenant sales during the last H1 call, I already mentioned that we would be transparent with the full year earnings on sales and also the occupancy cost ratio. Later in the call, we'll get back to that. If we look at tenant sales, they are 6% above pre-COVID 2019 levels. I saw one of our larger peers reporting today, plus 1% for Europe. So I'm happy to see that we are 6% higher than 2019. Next to that, if we look at valuations, there were some analysts in the market expecting write-downs on the portfolio. We saw stable valuations in H2. Why, this is the result of higher yields, but fully offset by increased ERVs. And of course, indexation is helping in that respect. Lastly, our outlook for the direct result per share for 2023, there will be growth again of 4% to 6%. If you do the numbers on the range that we provide here of â¬1.65-â¬1.75, you'll get to the 4% to 6%. We've always been promising this figure, but I'm also very happy to report now we're there. Now we're at the trough of our earnings. We are indeed seeing and anticipating a 4% to 6% growth again. If we then go to some of the figures for 2022, the direct result per share, obviously still decreased because of the disposals that we executed last year. You can see on the top right that if we adjust for that, there would have been a 13% increase in the direct result per share. EPRA NTA increased. That is also a while ago that we could report that. And also at the bottom of the sheet, our percentage of mixed use, you can see that our teams have worked very hard this year, not only on the leasing side, but also on the development and asset management side to work on the transformations. And COVID is now hopefully behind us, you can see that this year there was an increase in the mixed use percentage from 10.8% to 13.2%. If we then go to like-for-like rental growth, you can see that particularly in the Belgian markets, we had a very significant increase in like-for-like rents, but also in the Dutch portfolio 5.6% is a very good figure, I think. On the next slide, and we go then a bit deeper into the results, we focus on the leasing spreads. This is an important slide, I think, first and foremost, to focus on the Dutch portfolio. As you know, we've had a number of years with negative leasing spreads that is the MGR uplift, old rent versus new rent. That has been a negative figure for years, but I'm very happy to report this is now flat. If I look at the leasing deals that we executed in January, I'm confident we can continue this and maybe even post a positive figure for 2023. Belgium is already nicely in the positive territory. On the occupancy side, this morning with one of the radio interviews, I was asked about potential bankruptcies for 2023, I think we've had that question every year over the past couple of years because of COVID and Ukraine and all the things that are happening out there. Our occupancy rate is at 96.8%, the highest level since 2014. I think this shows the asset quality, the quality of the transformations, but also the quality of our teams that are able to lease our portfolio both in the Netherlands, Belgium and France to such a high occupancy rate. If we then go to the full service center performance. What we do, as you know, since one year is that we classify our assets in three categories: full service centers that are completed, which are now five because we completed three more centers in 2022. We have six now in transformation, and we still have six traditional shopping centers. If you look at the numbers, for example, the MGR uplift, but also the increase in tenant sales versus 2019 and also the total return, you can see the outperformance of the five full-service centers. Our performance is a little bit lower than the last time, but I think it's also important to realize that the three deliveries that we've had in 2022 were all in the fourth quarter. So during most of the year, they were still in development. I'm confident that with the next set of results, we can continue to show the significant outperformance of the new format, full service center versus the traditional format, the shopping center. Footfall, I think these charts speak for themselves. We're almost back at 2019 levels. And then looking at tenant sales, we haven't reported that at least not since Dennis and myself are in the Board. We've done a lot of work over the last months but also years basically, to collect a lot of sales data from our tenants. In Belgium, we received that data, but in the Netherlands, it's a lot of hard work from the Dutch team to get those numbers in. We're now at 55%, as you can see in the footnote of this slide. If we compare our tenant sales in Belgium to 2019, we're 10% above. In the Netherlands, it's 3%. And overall, that means we have a 6% higher sales level than 2019. If you compare that to our peers, and I have to say the numbers in this chart are based on H1 because our peers have not reported yet, we are significantly outperforming our competition. One of our peers also reported today, they are 1% above 2019 levels in terms of sales. So I'm happy to see that we are 6% above. I think this is showing the, on the one hand, the resilience of the full-service center format. But on the other hand, also the resilience of the fact that we have two thirds of our rents coming from daily life. If we then go to the next slide, there you basically see the number that I just mentioned. Due to the strategy, we have increased our exposure to convenience-retail, nondiscretionary retail, whatever you call it, from 51% to 62%, and this number will keep increasing in the coming years as we are transforming more assets to full service centers. Then the country updates, it's only the Netherlands and Belgium here because those two are our core markets as you know. In Belgium, I'd like to highlight the great success that our Belgium team in Tournai Les Bastions had with the leasing of Kiabi after Zara left a couple of years ago, we had a large unit to re-let and the opening of Kiabi terms of footfall numbers and sales has been a huge success. So I think that's a great effort. And also Genk shopping aim, this is one of the more difficult shopping centers that we have in Belgium. For the first time in a lot of years, I don't know the exact figure, we now have an occupancy rate above 90%, again, great effort by our Belgium colleagues. In the Netherlands, we signed a large package deal with the fashion retailer Only, with a couple of renewals, extensions and also some new stores. And in addition to that, if you look at the two deliveries, Stackelberg, Dordrecht, and Tilburg, in Tilburg obviously, we had an occupancy rate of 100% in Tilburg and 96% in Dordrecht for these full service centers, I think, in a difficult market last year, that is a very good result. Then one slide on the market, we thought that's worth mentioning the Dutch market because we're one of the few listed real estate companies with a large focus on the Dutch markets. Retail vacancy in the Netherlands according to Locatus this is one of the research agencies in the Netherlands is at the lowest point in ten years. Well, I've already mentioned that our vacancy is also the lowest in eight years. So I think that shows the market is improving. At the same time, we're seeing that online is slowing down a bit. Of course, online had a huge boost during COVID, but it is slowing down. I think the stuff that we're mentioning on this slide is familiar to many of you, but we're also hearing this in a discussion with hybrid retailers. Most of the retailers today are both off-line and online. What we're hearing is that online is slowing a bit. And if we look at new store openings also in January, the number of deals that Dennis and I signed in January 2023, this is continuing. So the confidence amongst the retailers is still very good, I would say. Short-term lease exposure, I think, also worth mentioning, it's our strategy to build full-service centers. And full service centers are comprised of longer leases, not shorter leases. I see some of our competitors doing a lot of short-term leasing work. For us, this is only 1.6% of the portfolio and it has decreased over the last couple of years. Getting back shortly to tenant sales, but then compared to the turnover, not to the turnover, but the occupancy cost ratio, which means the rents they are paying plus the service charge divided by the turnover, I have to say. This is the first time we are reporting these figures since a lot of years. If we look at the Belgium portfolio, our OCR is 8.3%. I think that's a very good level. In the Netherlands, it's 11.1%, which is also a good level. And please bear in mind, if you look at fashion, for example, in the Netherlands, 15.2%. This figure will decline because in this 15.2%, there are still a number of fashion retailers that will leave the portfolio and will be replaced by mixed use. They have a high OCR, if we replace them by mixed use as part of our Life Central strategy. The OCR, of course, will fall further. If you look on the next slide, you can see that our OCR at 9.8% is the second lowest versus the competition. And if you look at the comment at the bottom, we think post completing all the transformations, we will be at a 9% OCR, I think that is a very sustainable figure. With that, I'd like to hand over to Dennis for the direct results. Thank you.
Dennis de Vreede: Thanks, Matthijs. Although our direct result per share declined with about â¬0.25 per share to â¬1.63 per share, I think it's important to say that the fair comparison is basically that when we exclude the impact of the disposals, as Matthijs mentioned before, our direct result per share increased with â¬0.19 per share to the â¬1.63 per share as we have been reporting. Mainly, of course, due to the fact that we have higher indexation and also lower doubtful debt in 2022 compared to 2021. Moving on to our costs, I think it's very important to say that we continue to focus on our cost base. This is challenging in the current markets with high inflation. The effects of the high inflation and indexation, we were only able to offset partially in 2022 with savings, as you can see on the left-hand bottom side. With that, basically, we have created a next cost savings plan. With that plan, we will be able to reduce our  further in 2023, exceeding the expected increase of â¬1.1 million, as you can see there, we expect due to the inflation. Outlook, we have repeatedly reiterated that our trough direct result per share would be in 2022. Due to the indexation and better performance, I would say, this improved from a mid-range of â¬1.55 per share we predicted before to â¬1.63 per share as an actual result for 2022. For 2023, we forecast a â¬1.65 to â¬1.75 with a mid-range of â¬1.70, which is about 4% higher than we performed in 2022. On the dividend side, we are in a position to propose already a 5.5% increase of dividends at our AGM in April compared to the â¬1.10 in 2021. And this is within the range we provided one year ago between â¬1.13 and â¬1.20, so I think it's a good result we will be proposing at the AGM. If I look further, if I look beyond 2023, we have been also communicating multiple times that we would expect a CAGR of about 4% to 6% of growth basically for the years after our trough direct result per share a year, which was 2022. Despite the negative impact, I would say, of the potential loss of our FPI, our REIT status in 2025, and we will get back to that in a few moments, we still believe we can achieve a 4% to 6% average growth between the years 2023 and 2027. It's mostly due to the indexation as you can see on the left-hand side of the bar chart, but also additional rental income we expect from completing our full service center program and ongoing, I'd say, cost reductions. What we have not included in this growth rate is the fact that we would expect some growth from additional business models we are working on very intensively right now, acquisitions and so on. For the LifeCentral strategy, I hand it back to Matthijs.
Matthijs Storm: Yes. Thank you, Dennis. We can immediately go to the next slide. The progress on the LifeCentral strategy in 2022 as mentioned, weâve delivered three Full Service Centers last year in Tilburg, Kortrijk, and in Dordrecht, two of them 100% lend, one of them 96%, I think soon that also will be a 100% lending situation. So I think thatâs a good success. If you look at the bottom of the slide, the percentage of mixed-use, weâve increased from 10.8% to 13.2%. And we think that towards the end of 2023, we will be at 15%. So weâre getting closer and closer to our target. Couple of highlights of the completed Full Service Centers last year. In shopping in Kortrijk, I think this is a shopping center where weâve done a lot of great work, particularly on the outside and also in the areas of F&B. And also on the interior side, you can see on the picture, I think it speaks for itself. Weâve made a big step. And if I look at the first results in terms of footfall, it is encouraging. If we go to the next one, which is Sterrenburg in Dordrecht, here, we created a fresh food cluster. You can also see that on the picture. We call it our Every.Deli concept. On this center, we also did a lot of good work on the sustainability side. We had a CO2 reduction of minus 30% as a target for 2030. But I think actually, in this case, we will even reach that earlier, which is positive. And if you look at the numbers at the bottom of the slide, footfall, plus 2.2% versus 2019, and NPS that increased from 8% to 13% and also a significant increase in mixed use. We are happy with the results. Lastly, Tilburg, we already sent out a press release on this asset. This was the largest development in the portfolio, 100% leased. Again, I think a great success by our leasing team, but also from a development perspective, on time, on budget, despite all the challenges we had in the commodities and the materials market. We are happy with that results and the first signals weâre receiving from the retailers here are positive. Then we go to the ongoing transformations. We have the Vier Meren in Hoofddorp. This is a municipality very close to Amsterdam, one of the fastest growing municipalities in the Netherlands at the moment. Weâre adding an Every.Deli a fresh food cluster. Leisure and entertainment will be visible here and also an improved F&B offering where we will implement our eat and meet concept as created by our customer experience team. So a lot of elements in this Full Service Center, you can see on the pictures, the works are ongoing at the moment. Itâs one big construction site, but thatâs good because Iâm confident that once this center has been delivered in 2023, it will be a success. Then we have in De Koperwiek, Capelle aan den Ijssel, we have the De Koperwiek, â this is a center where we have been working now for a couple of years. This year, we will deliver Phase 3, which is a food and beverage phase, also created by the customer experience team, the eat and meet concept, it will also be visible in this asset. With the CapEx of LifeCentral, Iâd like to hand it back to Dennis.
Dennis de Vreede: Thanks, Matthijs. So as you can see in this bar chart, we have been investing up to 2022, about â¬138 million out of our total estimated transformation budget of â¬300 million to â¬350 million. In 2022, we spent about â¬62 million out of that. The remaining budget we set for ourselves is about â¬212 million and in the light, I would say, of the increase in financing costs, increase in construction costs, we reviewed in detail our CapEx plans. That led to the fact that we have been able to reduce this CapEx plan with almost â¬60 million, mainly by pausing or stopping some of the planned extensions for now. As said before, for 2023, we aim to deliver another four Full Service Centers. As you can see, at the â¬62 million we planned to spend in 2023 and further the outer years is the remaining CapEx. By reviewing also our CapEx plans and also by reviewing every time when we receive investment proposals, we keep a very close eye on our CapEx investments. We committed most of our construction materials against fixed prices, as you can see on the left â on the right-hand side. So at a very moment, we predict that we have a very limited risk at this point in time in terms of pricing for the remaining amounts. Due to the higher inflation and interest rates, we have raised also our investment threshold IRR from 6% to 7%. This is still above, I would say, the average IRR of Continental Europe retail of 6.5% as published by Green Street Advisors. And as a result, basically, of doing the exercise again early this year, late last year, we identified basically one additional asset that we might put out for sale if it does not meet the increased hurdle and you could see that on the right-hand side of the chart. Despite the rising market yields on this page, as you can see in both the Netherlands and Belgium between 2020 and 2022, we have experienced a yield compression over the same period for our full service center assets. I think itâs â for us, itâs evidence. Itâs â we regard this as continued evidence that our LifeCentral strategy starts to work. In addition to our LifeCentral strategy, and weâve been showing this chart before on the left-hand side, we identified about 10 locations in our portfolio with residential potential. So we believe there is 1,600 to 2,100 units that we can have developed over those locations. On the right-hand side, itâs a new bar chart. This is where we start to expect this year the first gains about â¬3 million and in 2024 and 2025, we expect to develop and see the remaining results. This chart shows the relative performance since our LifeCentral launch from the 7th of February 2020. I think compared to a number of relevant peers, we are performing somewhere at this point in time in the middle of the pack. On the financing side and the valuation side, well, Matthijs mentioned already, we have seen since the second half of 2021, so for more than six quarters now that our valuations in the core portfolio are stabilizing. In 2022, that was, I think, mostly the result of the somewhat higher yields, which have been offset by the ERV with increase in market rents. I said before, our net LTV increased slightly to just over 42% due to our transformation CapEx and dividend distribution last year of â¬1.10 per share. As we target a net LTV of between 35% and 40%. Weâve taken additional measures such as on the right-hand side, you could see that our next cost savings plan, which should result in additional cost savings, weâve taken our LifeCentral CapEx budget down with almost â¬60 million for the next number of years. And we also proposed a slightly lower dividend for 2022, which is at 71% of our direct results per share. So we are looking also, like I said before, on the page before, to dispose of one additional Benelux asset in the next year or two years, depending obviously where the market is. Together with the two remaining assets in France, which are still up for sale, we are confident to push our net LTV below our target of 40%. This page shows you our debt profile. Our debt increased slightly, I would say, as a result of the full service and the CapEx investments we did in 2022 and obviously also because of our dividends. Our average cost of debt only rose slightly from 2.3% to 2.5%. I think itâs important to say that weâre still about 82% fixed debt. So that is protecting us from the rising interest rates. And our gross LTV, as you can see, declined basically because of the fact that weâre now fully unencumbered again after our refinancing efforts and net LTV, like I said before, increased slightly. So what did we do in 2022? I think during 2022, we successfully refinanced about â¬385 million of debt, pushing out the maturities of those debts, mostly into 2027 and a bit also in 2026. Also replacing the only secured financing we had in place with an unencumbered RCF mix that we are fully unencumbered now post this large refinance. On the ESG side, more good news. On this page, you could clearly see how we have been performing in the most relevant benchmarks. I think our ESG program, A Better Tomorrow, keeps delivering strong results. On the GRESB side, you can see on the left-hand side, we increased our score from 91 to 92 points last year, and we were awarded with the number one position in our peer group in Western Europe. On the CDP side, we made a big step from a B Level to an A level. So we made it to this A-list and also, we received for the seventh consecutive time at the Gold Award from the EPRA sBPR. Our main commitments are in a clear, and I would say, but also ambitious ESG strategy is to maintain our GRESB 5-star rating. We have been reiterating that we will be reducing our carbon emission by 30% â 30% by 2030 and become full Paris Proof by 2045. We keep making sure that our commitments are aligned with the United Nations sustainable development goals. And how do we get there? How do we get to a 30% reduction in 2030 and Paris Proof by 2045 on a portfolio level? What we have been doing and will be finalizing in 2023 is having a Paris Proof road map, as we call it, for all our assets finalized in 2023. So what we have been doing is working with a reputable engineering company who is reviewing all of our assets making reports, and with every transition, every transformation, we incorporate as many of the recommendations as possible without, of course, or with making sure that we keep delivering over the 7% hurdle rate. And with that, Iâd like to hand it back to Matthijs for the management agenda and closing.
Matthijs Storm: Thank you, Dennis. And then the last slide of the presentation as we are used to. Our targets for 2022, 2024, you can see on the left-hand side. Iâm not going to read it all out. But I think from a total return perspective, weâve always promised at least 8% annualized total return. We delivered 9% last year, so above our target, which is good. And also, I think on the bottom, Dennis already mentioned that we are fully aware that weâre not yet in the targeted LTV range that has already mentioned the measures that weâre taking in order to get there. So weâre still committed to reduce our loan-to-value to 35% to 40%. And then lastly, as already mentioned as well, earnings growth, 4% to 6% per annum. Weâre promising that for 2023, but also for the years after 2023. So I think thatâs a good sign after a number of years of earnings decline because of disposals. Weâre now seeing the growth again, amongst others, fueled by the delivered full-service centers. With that, I think we can go to the first question.
A - Matthijs Storm: We had the first question from  from kempen. What is your view towards indexation in the coming year? Have you sent out letters with 14% rent increases in January in the Netherlands, for example? Or are you granting discounts, step ups? A very relevant question, . We are pushing through the indexation for 100%, as weâve mentioned earlier. Weâre doing that for all the contracts in the Netherlands, in Belgium and also in France, although in France, the indexation is much lower, around 3.5%. What we are doing, however, in some special circumstances, for example, a lease renewal or a new lease is implementing a cap on the indexation because that is a different bargaining position if you renew a lease or if you extend the unit or lease a new unit in those situations, weâre willing to grant a cap. But for all the existing anniversaries of leases, we push through 100%. Dennis?
Dennis de Vreede: The second question also from . Does your guidance include full contribution of the French assets or include disposals? And is it your target for next year to increase dividend payout to 75%? Regarding your first question, we are including â for 2023, we are including the French assets for a full year. We do expect that Meriadeck, our asset in Bordeaux is the first one that we will be putting out for sale. We will be putting out on the market. We are finalizing an extension outside of the center whether F&B area that should be finished by the end of March, opening early April. Itâs on track. Itâs fully leased. And so we think thatâs the right timing to basically then put the asset on the market. Also in the asset, we have been working hard to almost fully let it so that would be the right timing. But obviously, we canât time the exact date of the disposal. So, we have included it for the full year. Our target for next year dividend payout ratio to 75%, the question. That depends, I think our policy is definitely 75% to 85% dividend. What we decided to do this year for 2022 is to propose a dividend of â¬1.16, which is slightly below the dividend policy at 71%. That was triggered â we were triggered by the fact that, our LTV is slowly going up, which is the wrong direction. So, we want to do everything we can to push that down to below 40%. So, I would say for next year, for 2023, our guidance is that we will be increasing our direct result per share with about 4%. And I would definitely believe that our dividend would also go up in the same area. And if we sell Meriadeck, if we are pushing our LTV down, I think we can review it at that time.
Matthijs Storm: And we have a question from Steven Boumans, ABN AMRO. You reduced the CapEx plan. Please elaborate what you will not do what you intended to do before? Good question, Steven. I think itâs generally, a pretty simple answer. In â yes we have extension plans for BelleÃle, at the moment, we cannot execute them, as you know, Steven, because we have a 20% single asset restriction under the Belgian REIT regime. So thereâs already a reason for not doing it. But this plan is roughly â¬50 million, â¬55 million. This is a plan we put in the fridge. It will come back in the future. But for now, we put it in the fridge. That saves the majority of the â¬59 million that Dennis mentioned, the other couple of millions are really little bits and pieces on other assets. But in general, all the full service centers will still be completed and transformed. Dennis?
Dennis de Vreede: Yes. Another question from Steven Belmont . Could you provide more color on the new initiatives and acquisitions that youâre working on? Or when can we expect an update? And are these initiatives already part of the 2023, 2027 earnings CAGR? More color on the new initiatives and acquisitions. Thatâs, I would say, on the new initiatives, and thatâs triggered, I would say, Steven, by the fact that we expect that the Dutch REIT regime, I should say, will stop to exist on the 1st of January 2025. Our new business models weâre looking at , but for example, what weâre looking at is, can we manage assets for third parties. I mean we have a very experienced and a very well-recognized platform in the Benelux. And I think we could lever that further by managing assets for third parties. For example, acquisitions at the moment, we keep a very close eye, I said before on our LTV. So thatâs difficult. If we would do acquisitions, I think we will have to add an equity component to it. So that will be depending also on the AGM, I would say, in April, when we will propose this again. Or of course, when we dispose an asset in France or in the Benelux, we should be having the funds available to do an acquisition. So none of this has been part of the 2023, 2027 guidance. So I think from that part, I would say this is a very conservative scenario, 2023 to 2027. Of course, we did include in our forecast, the dispose of the two French assets that has been always in the plan. We plan one in 2023, and we plan one in 2024. And those two French assets, they should be replaced by assets in the Benelux with a higher yield. So that will â that should drive some more growth in that period of time.
Matthijs Storm: Another question from Steven. Wereldhave Belgium does not have a single asset exposure of 20% anymore. I can imagine that provides more flexibility for you. Could you please help us if debt will have an impact on the 2023 strategy, maybe divesting more offices? Thatâs correct, Steven. Belle-Ãle, our center in LiÃ¨ge has been above 20% of the portfolio value for a lot of years since 1998. So for 24 years, we have had an waiver from the FSMA, the Belgian authorities. We donât need it anymore because as per December 2022, Belle-Ãle is 18.9% of the portfolio value. But itâs only a small difference between 18.9 and 20. So we cannot sell the Belgian offices today because then Belle-Ãle would be above 20% again, and we would bridge the rule. We are working on a number of solutions in order to be able to sell the Belgian offices maybe this year or next year. Youâll get more news on that. What we already did is transferring the Belgian offices to an entity, which allows for a shared deal, because in Belgium, as you know unlike the Netherlands, you can escape from the transfer text to high transfer duties by doing a shared deal. So if we do a deal anyway for the officers, it will be a shared deal going forward.
Dennis de Vreede: Yes. Next question from Francesca Ferrangina. You are open two acquisitions. Can you talk about what you see on the investment market? What type of deals and assets? Good question and definitely this is what we keep doing. We keep our eyes open. Whatâs happening in the markets in the Benelux markets. So what we do see is that there are interesting assets on the market sometimes off market, sometimes definitely on the market and open for sale. Weâve been looking at a number of acquisitions last year. But again there what we like to do is buy assets, which are undermanaged those assets. We believe we can transform into a full service center, which are successful as we have been seeing over the past two years. So â but I would say on the other hand, we keep our eye very much also on our loan to value ratio. So I want to sell an asset first or I want to make sure that we keep our LTV low. So first do that and then do an acquisition.
Matthijs Storm: Another question from Steven Boumans. You reduce the CapEx plan. Please elaborate what you will not do. I think we had that question already.
Dennis de Vreede: Yes.
Matthijs Storm: So that has been answered. Apologies for that. I donât know if there are any further questions. Yes. This is another question from Francesca. Can you talk about what you see on the investment market and also the leasing market and the differences between Belgium and the Netherlands? I think in the â starting with the Netherlands, Francesca, the investment market has been quite active for retail in the last couple of years. There were also a couple of larger deals in the Netherlands. A large shopping center in Almere  was sold by one of our peers, a large shopping center in  investor from Singapore. Yes, what weâve been seeing is that there were a bidders in these processes, which were significantly and when I say significantly, itâs 20%, 30% above the price levels where we were. So on the one hand, thatâs a good sign for our portfolio value. But as Dennis also mentioned, it makes it more difficult to acquire. Investment market in Belgium has been very quiet over the last couple of years, hardly any deals. There are some products which are rumored to be on the market, let's see if it happens. But for now it's still relatively quiet. Leasing market in the Netherlands has improved significantly. I already mentioned that during the presentation, you can see that in our occupancy rate. You can see that in our leasing spread, we also see it in the leasing results in January, that market is significantly better than a couple of years ago. In the Belgium market, I would say we've always had, we always enjoyed a good leasing success. If you look back over the last couple of years, our leasing versus MGR versus ERV, and the occupancy rate has always been strong, on the one hand. This is the result of a very good quality Belgium portfolio. On the other hand, we've had a very stable and strong Belgian operational team. We've been able to achieve those results. So Belgium is more flattish, but it's always been at a good level.
Dennis de Vreede: Yes. Next question from Herman van der Loos from Petercam. Don't you consider a reverse takeover by Wereldhave Belgium and adopt a tax-exempt Belgian REIT status, tax-advantage and unified organization? Herman, good question. Thanks for asking. I think this has been reviewed a couple of times, a reverse takeover in the past. We don't believe that is the right solution at this point in time. However, things have changed hopefully or will be changing most likely when the Dutch government is pushing through the plans to abolish the Dutch REIT status. So that's definitely something we will take into account, of course, by reviewing that potential solution again. What we will be doing at the moment is to further look into unifying the organization, making sure that we have the most efficient teams in place between the Netherlands and Belgium, levering from each other, of course, taking good notice of the governance between the two entities since they are both listed obviously. So that's what we're doing at the moment. And we will be looking into different opportunities and different solutions over the next two years when we start approaching the 1st of January 2025. What we will need to do.
Matthijs Storm: One more question from Francesca. How many CapEx will be devoted to ESG and energy optimization for the coming periods? I don't have the figures exactly for â specifically for ESG here Francesca, but we can disclose those to you. What we do in terms of process, as you know, I think is that for each transformation we dedicate part of the budget to ESG. In some cases, that is only â¬2 million. In other cases, that is â¬12 million with the figures I have in mind. So it depends per project. Some of our shopping centers are newer and are already more efficient than others. But with each transformation, we make a big step towards being Paris-Proof. So the five assets that are delivered, they have very strong energy certificates. They are much more energy efficient than the other 12 assets in the portfolio, but once we complete more transformations you will see our energy performance going up.
Dennis de Vreede: Yes. And maybe in addition to what Matthijs is saying, Francesca, this comes back to the Paris-Proof road maps we are finalizing for all our assets. This year, we will be finalizing those road maps. They will indicate us what we need to do on those assets to get to an average portfolio reduction of CO2 of the 30% by 2030. And then, of course, we will try to fit that into our transformation program. And we will be including as much needed to get to the 30% whilst keeping an eye on the 7% hurdle rate we have set ourselves. So over the next, I would say, six months, that will be more clear to us as well, how much that will be in total. 
Matthijs Storm: Weâve got a question from Christopher Freeman . When you renew a lease with a cap, do you also introduce a floor as well? Is that zero only or one, any chance of fixed uplift leases in the future? Good question, Christopher. When we do introduce a cap, we always introduce a floor as well. And a typical floor that we put in is 3%, which might seem low in todayâs high inflation environment. But donât forget, in the Netherlands, when we do such renewals, we do a fixed 10-year renewal, no break after five years. So for 10 years, a 3% minimum with a cost of debt of 2.5%, 2.6%, I think, is very appealing to us. So thatâs the policy we give out to our leasing managers, and you will see more of those contracts in our portfolio. Dennis?
Dennis de Vreede: Yes. Next question from Francesca. Where do you see the average cost of debt for 2023? Good question. And of course, a very relevant question Francesca. For 2022, we mentioned the 2.5% average cost of debt given, of course, the continuing rising interest rates, I would believe that, that will go up definitely. We are fixed for 82%, a hedge for 82%, so that will reduce basically our exposure to those higher interest rates. But if I would need to do a prediction for 2023, I would definitely believe it will go above 3%, probably somewhere between 3% and 3.2% is my best estimate at the moment. 
Matthijs Storm: Iâm looking, if there are further questions. No, I get the sign that there are no further questions. We see that... I see a question on the screen, but this one we already had. So I think weâre done.  Thanks a lot. Thanks for all your questions. Thanks for participating, also for the people who are replaying this because this is why we have that functionality. Weâre looking forward with confidence towards 2023, our first year of earnings growth again. And Iâd also like to thank all the Wereldhave teams who worked very hard to achieve those results. If you have any further questions, please donât hesitate to contact our IR Manager, Jeroen Piket.  His contact details are on the website. Some of you we will see during the road show the next coming days, definitely looking forward to catching up again in real person. And good luck, and have a nice day. Thank you.
Dennis de Vreede: Thank you. Bye-bye.